Operator: Good afternoon, and welcome to Fluor Corporation's Fourth Quarter and Year-end 2011 Conference Call. Today's call is being recorded. [Operator Instructions] A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8:30 p.m. Eastern Time on February 28 at the following telephone number, (888) 203-1112. The passcode of 4586932 will be required. At this time, for opening remarks, I'd like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead, Mr. Lockwood
Kenneth H. Lockwood: Thank you very much, operator. Welcome, everyone, to Fluor's Fourth Quarter and 2011 Year-end Conference Call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Mike Steuert, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed. We have posted a slide presentation on our website, which we will reference while making our prepared remarks this afternoon. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10-K, which was filed earlier today. During this call, we may discuss certain non-GAAP financial measures as well. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are also posted in the Investor Relations section of our website at investor.fluor.com. With that, I'll turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David T. Seaton: Thanks, Ken. Good afternoon to everyone, and I appreciate you joining us here today. Today, we'll be reviewing our results for the fourth quarter and the full year of 2011 and discussing our outlook for 2012. If you'd turn -- now we'll turn to the financial results and ask you to turn to Slide 3. I want to start by covering some of the highlights for the performance for 2011. I'm pleased to report that Fluor had delivered -- has delivered another year of strong new awards, double-digit backlog growth and earnings per share at the top end of our expectation for 2011. Net earnings for 2011 were $594 million or $3.40 a diluted share, which compares to last year's $357 million or $1.98. Consolidated segment profit for the year was just over $1 billion, which compares with $621 million for 2010. As you know, last year's segment profit was impacted by the significant pretax charges on 2 infrastructure projects, as well as the power project. Our results for 2011 reflect a substantial increase in the profit contribution from Industrial & Infrastructure segment, along with very solid performance from all the other 4 business segments. Consolidated revenue for the year totaled a record $23.4 billion, which was up 12% over last year, mainly due to strong growth in the mining & metals business line. We also had another strong year for new awards at $26.9 billion, reflecting substantial mining & metals volume, as well as sizable orders within the Oil & Gas segment. Consolidated backlog rose to a new year ending high of $39.5 billion, which represents a 13% increase from a year ago. Our full year cash flow generation from operations was significant, which enabled the company to return cash to our shareholders through the repurchase of over 10 million shares in Fluor. I'm also pleased to report that the board recently approved a 28% increase in our quarterly dividend to a new rate of $0.16 per share. If you'll turn to Slide 4, I want to comment on the fourth quarter of 2011. Net earnings for the fourth quarter were $153 million or $0.90 per diluted share. This favorable result was mainly driven by a marked improvement in segment profit, which rose to $279 million in the quarter, again driven primarily by strong performance in our Industrial & Infrastructure segment. Net earnings for the quarter also benefited from a lower tax rate, which reflected the favorable resolution of various tax issues and audits. Revenue for the quarter was $6.3 billion, which was 19% higher than last year and again, mainly due to the Industrial & Infrastructure group. Fourth quarter new awards were $4.3 billion, including awards of $2.5 billion in Oil & Gas, $947 million in Power and $504 million within the I&I segment. While our new award numbers for the quarter is somewhat below levels experienced over the last 6 quarters, I’d remind everyone of our regular commentary on the inherent lumpiness of quarterly new awards. We expect new awards in the first quarter of 2012 to strengthen. If you turn to Slide 5, I'd like to take a moment and address the Greater Gabbard Wind Farm Project. Despite additional weather delays in the quarter, we continued to make good progress, and the project's now 97% complete. We've nearly done everything but the burial of some of the remaining inter-array cables and the completion of the installation of the second half of the third main export cable. At this point, all 140 monopiles, transition pieces, wind turbine generator sets are installed, and many of the units are generating power for the customer. We have just one set of wind turbine blades left to install, and we should complete that task within next week. We have completed the installation of the first half of the last export cable, as I mentioned, and expect to be underwater laying the second half of this within days. This had been a tough project, but I feel good about where we stand. While we took a small charge in the fourth quarter as we refined the estimates to complete the remaining tasks, we still expect to complete the project in the first half of 2012. Turning to Slide 6. The Oil & Gas segment had new awards of $2.5 billion in the fourth quarter, including $1.5 billion project for Syncrude Canada Ltd. to provide project management services for the Mildred Lake project in Fort McMurray. The quarter also included incremental scope on ExxonMobil's West Qurna, a development project in Iraq, and the Oil & Gas backlog rose 6% from a year ago to end 2011 at $15.1 billion. We continue to work on numerous front-end programs in Oil & Gas and expect that number -- a number of those projects will proceed to full EPC over the next 12 to 18 months. Our scope will obviously vary depending on clients contracting approach, but we feel very good about this segment and the continued level of FEED activity. Now the Industrial & Infrastructure segment posted fourth quarter new awards of $504 million, including incremental releases on mining projects in Africa, Australia, South America, the United States and Canada, quite diverse if I say so. The group also posted awards in our manufacturing and bio technology group, which included a biofuels demonstration plant. The mining & metals group business line also continues to work on a number of FEED contracts, and the commodity markets support ongoing capital expansion. We expect 2012 to be another busy year for the mining & metals business line, especially as we get into the second half of the year. Ending backlog for our Industrial & Infrastructure group rose to a segment record of $19.6 billion, representing a 16% increase over 2010. Moving to the government segment. The government bookings for the fourth quarter were modest since the timing of releases of the LOGCAP IV task orders was a little out of sync with our quarterly reporting schedule. Despite recent indications from Washington that it's considering altering our -- the U.S.'s mission in Afghanistan by the end of 2013, we don't expect to see any material change in our scope throughout 2012 and 2013. Ending backlog for government was $1.1 billion compared to $751 million a year ago. Our Global Services operations and maintenance business booked $140 million in new maintenance contracts and renewal of existing contracts. We expect that when the economic picture improves, it will have a positive effect on these markets and the release of major maintenance capital funding of clients. We look for improvement for Global Services as we go out through 2012 and beyond. The ending backlog for this group was $1.9 billion. The Power segment had strong fourth quarter bookings, its best quarter in over 4 years, with awards totaling just under $1 billion at $947 million. The fourth quarter included an award from the Lower Colorado River Authority to build a 540-megawatt gas-fired combined cycle power plant in Texas. And the quarter also included awards from Arlington Valley Solar Energy, a member of the LS Power Group, for the engineering, procurement and construction for its new 125-megawatt solar photovoltaic facility located in Maricopa County, Arizona. As evidenced by their success in the last 2 quarters, our Power group's prospect list is improving and will continue to do so. The new pollution control guidelines, currently under court stay, should also create significant additional opportunities as we get into 2012 and beyond. Power segment backlog rose to $1.8 billion, reflecting the strong new awards in the second half of the year. With regards to the outlook for our large -- larger markets, we have a robust prospect list in I&I, particularly in mining and in Oil & Gas. Our mining clients continue to invest in major new developments, as well as expansion programs, and there are some really sizable infrastructure projects that could move ahead in the latter part of this year. In Oil & Gas, we've seen some large prospects delayed during 2011, but we expect 2012 new award levels to improve. Regionally, the Oil & Gas group's opportunities -- opportunity is broad, including prospects around the globe: Australia, Canada, Middle East, Kazakhstan, Asia, Mexico, South America – I mean it's really broad and diverse from a geographic perspective. In summary, we feel really good about our results in 2011, and the breadth of our market opportunities give us encouragement as we look to 2012 and beyond. With that, I'd like to turn it over to Mike Steuert and ask him to review some of the details of our operating performance and the corporate financial metrics, as well as our financial outlook for 2012. So Mike, I'll pass it to you.
D. Michael Steuert: All right. Thank you, David, and good afternoon. The detailed results for each operating segment can be found in our earnings release and in our 10-K which we just filed this afternoon. Please turn to Slide 6 of the presentation. As David mentioned, Fluor's consolidated backlog increased year-over-year to $39.5 billion. The percentage of fixed price contracts in our overall backlog was 15% at year-end, with 78% of the total backlog for projects located outside of the United States. We continue to experience robust international markets, with the year at 84% of new awards coming outside the U.S. with a concentration in Australia, the Middle East, Latin America and Canada. Moving on to corporate items as shown on Slide 7. G&A expense for the year was $163 million, which compares with $156 million a year ago. The effective tax rate for the year was 30%, and as David mentioned, our tax rate benefited from several items in the fourth quarter, including the favorable resolution of various disputes and audits. Shifting on to the balance sheet. Our consolidated cash and marketable securities balance totaled $2.8 billion at year-end, up from $2.6 billion a year ago. During 2011, the company generated $890 million in cash flow from operating activities and repurchased $640 million worth of Fluor shares. We also paid out $88 million in dividends, and as David mentioned, the Board of Directors increased the quarterly dividend from $0.125 per share to $0.16 per share beginning in the first quarter. In addition, the company took advantage of the attractive markets and completed a $500 million offering of 10-year unsecured notes to enhance our cash balances in the United States. Capital expenditures for the year were $338 million, which compares to $265 million a year ago. This increase was driven by our AMECO business line, which purchases construction equipment to support both Fluor and third-party customers. In summary, Fluor's financial position continues to remain extremely strong. Finally, let me conclude by commenting on our guidance for 2012, which is shown on Slide 8. We believe we are well-positioned within our diversified markets to enable the company to continue to grow. But at this time, we are mindful of the continued economic uncertainty at this early stage of the year. With a solid backlog and a promising prospect list, we are maintaining our 2012 earnings per share guidance in the range of $3.40 to $3.80 per share. As previously indicated, this range includes an estimated impact of approximately $0.20 per share for the ongoing funding of R&D expenses in the NuScale Power activities. Our 2012 EPS guidance assumes G&A expense in the range of $160 million to $180 million, capital expenditures of approximately $300 million and effective tax rate of 32% to 35%. With that, operator, we are ready to take questions.
Operator: [Operator Instructions] We'll take our first question from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: David, as you scoured the globe looking at your prospect list, could you maybe talk a little bit about, maybe you can break it down into Oil & Gas and I&I, the competitive landscape of the certain areas of the world or certain end markets that are more competitive as the competitive aspect eased a bit? And do you anticipate that as more FEED coming to EPC that could help potential booking margins as we move into 2013?
David T. Seaton: Well, I think the competition is still pretty keen in most parts around the world. I think the real positive aspects that I see is that beginning wave of FEED work, and that's usually based on a value proposition, not necessarily on low price. So I'm encouraged with the opportunities that are in front of us. And as you know, we like to do a very good job on those front ends and help them kind of go into EPC, and I think that same practice is available to us. I'm seeing -- if you kind of walk around the globe, the mining group is still looking at their projections of commodity needs out into '13, '14, '15, which says that these capital programs need to be pretty active right now in order to accommodate that. So we've seen some pauses, but we haven't seen any real dramatic change in the growth opportunities for us in mining. Within Oil & Gas, those are really the 2 that you want to talk about. We can talk about the others as well, but in Oil & Gas, it's pretty diverse to be honest with you. We're seeing a lot of upstream projects that are going into the EPC phase. We feel really good about the growth opportunities during '12 in that particular segment. But we're also seeing the return of the refining projects, and in fact, there's 3 specific projects that we're pursuing very, very keenly. And we feel pretty good about winning the front ends on those. And I would say that even though it's very competitive, it's not as competitive as it was, say, a year ago. But it's also not as attractive from a margin percentage perspective as maybe it was in the '08, '09 kind of time frame. So it's good profit dollars for us, and we feel very good in that market. Also, I think we're working on several front-end projects in the petrochemical market. And again, it's good to see both refining and petrochemicals kind of starting to resurge, if you will.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Excellent comments, David. My follow-up question is regard to, there's been a lot of interest in activity or thought process about the United States and the opportunities in energy, given where natural gas feedstocks are. Can you talk about how Fluor is looking at that market? And also, you mentioned Power had a very good year. Do you see some more plant betterment opportunities second half of the year, as opposed to the first half?
David T. Seaton: Yes, I'll hit the Power group first, and then I'll go back. Yes, we see the second half of the year because they've come up with different tweaks and changes to some of the compliance types of projects, so there's a little bit of re-studying that's being done, and we're participating in a fair amount of that. But once the legal challenges are behind us, I do see that the environmental compliance programs are really starting to provide benefit to us. And as you say, it will be kind of back-end loaded, but I think it really bodes well for earnings streams when we get into '13 and beyond. With regard to the U.S. just capital markets in general, I attend several kind of industry groups and forum -- leadership forums around, and I think the overreaching attitude is one that the U.S. is going to remain flat and 2012 is going to look like -- a lot like 2011, and I think I agree with that. However, I think that there's a lot of bright spot when you think of gas pricing right now and the benefits that, that provides for the chemical and petrochemical markets, as well as the fine chemical markets. We're already very active in a couple of instances in scoping efforts and real conceptual studies, but gas pricing at the levels it is right now makes it competitive with the products that are being produced in the Middle East. You've got a lot of petrochemical and fine chemical assets in the United States that have been starved for capital for some time, and that's right up our alley. I mean, I feel very good about our position in that market and delivering what the customer wants at a very cost-effective -- in a very cost-effective manner.
Operator: Our next question is from Jamie Cook with Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: 2 questions on margins. One, David, on the I&I side, the margins you had this quarter, again, were fairly good, I'm assuming, driven by mining. Can you talk structurally if this is sort of the 4.5% range? Is that how we should be thinking about the I&I margins going forward? And also, I guess, I'm just trying to think about profit dollar growth as we get into later stages of the mining projects. And then my second question relates to Oil & Gas margins. I mean, how much of the margin is improving? Is it a function of just burning more revenue to better utilize your people versus just booking higher-margin stuff in the business? Because, I guess, I just -- I look at your backlog today, it's sitting at $15 billion. It's higher than where we were in '06, and into '07. We had much better margins, and I'm assuming what you're going to say about 2012. So I'm just trying to think about what you view is a major catalyst of driving those margins forward? And to your more bullish comments on refining and petrochem, does that change the longer-term margin mix, I guess, more favorably?
David T. Seaton: Jamie, let me -- I want to answer it in general, and then I'll talk specifically about mining and then Oil & Gas. If you look at our mining group and you think about the Oil & Gas group and mining today, Oil & Gas maybe in the '08, '09 time frame. You had a pretty significant suite of projects that were in differing phases of execution. So the earnings streams weren't dependent on one project in the normal curve of heavy engineering content in the beginning and a lower content of construction hours in the back end. So what you've got is you've got a better balance within mining than we've seen in the past, which I think supports margin that's consistent with what you're seeing right now. I don't see it improving dramatically, but I also don't see that the typical drop-off of just having one big mining project like we had, if you go back in history a decade. So that kind of is the underpinning, I guess, what I would say, to pretty solid earnings within that segment. Within Oil & Gas, the same dynamic, I think, is reemerging where we're seeing a lot more activity in FEED work, we see a lot more projects moving into EPC, which provides us that leverage that does provide for margin improvement within Oil & Gas. So I think that what we're seeing is just we're coming through that cycle. And I see improvement as we go through '12 and into '13. There's some big projects out there that we feel really comfortable about that are going to start to churn as we get into 2012.
Jamie L. Cook - Crédit Suisse AG, Research Division: And then David, last quarter, you did talk about the ability for you in total to grow backlog in, I think, in 2012 relative to 2011. Is that still your -- is that still how we should be thinking about things and are the Oil & Gas awards more second half-weighted versus first?
David T. Seaton: I think what I said before was that, again, the lumpiness word, that quarter-over-quarter, we may see some drop in backlog, but by and large, it's improving, I think, the quality of earnings in backlog. So we are seeing improvement in that. I do believe that durring 2012, we'll see growth in our backlog. But as you see the mix, you're going to see probably more front end, which on a per dollar -- per hour basis, is pretty attractive, bottom line margin, but it doesn't drive the EPC values in backlog. At the same time, you're going to see a ramp up in the revenue burn from the mining sector. So all in all, we'll see some marginal increase, but I think what you're going to see is an improvement in the quality of the margin in the backlog.
Operator: We'll take our next question from Andy Kaplowitz with Barclays Capital.
Alan Fleming - Barclays Capital, Research Division: It's Alan Fleming standing in for Andy this evening. I wanted to ask you a little bit about the government revenue. I think you've talked about most of the other segments relatively in depth. But the government revenue seems to be bouncing around in the kind of the $800 million to $900 million range. Wondering if you could just give us some color and how we should think about modeling this business, specifically has Portsmouth kind of fully ramped up? And how should we think about that going into 2012?
David T. Seaton: Well, let me give you a long answer. It's a book-to-burn. I mean, it's a quick book-to-burn-type business. So backlog in government is somewhat meaningless in comparison to say, mining, Oil & Gas, Power, any of the other groups. So the fact that it bounces around really doesn't concern us. It's what's kind of in that -- those task order releases and the like and the renewals like for Savannah River and the like. We've got a good strong earnings stream there, and when you think about the budgeting process that's going on, we don't -- we really don't anticipate any significant change in the number of people working in Afghanistan, on LOGCAP or anything else in the near term. In fact, if you look at Iraq as a model, people like us increased our headcount in earnings during the period after somebody set a date for departure. So we really don't see any change in the base earnings of government throughout 2012 and '13.
Alan Fleming - Barclays Capital, Research Division: Okay, that's helpful. And then if I could follow up on 2 specific projects in I&I. First is Greater Gabbard, seems like some better news this quarter on the project, 97% done. Is it safe to say you're kind of through the woods on that project? And then on the new Minas Conga Project, can you give us an update there? Are you guys -- any updated thoughts on when you could potentially resume work?
David T. Seaton: Sure. On Greater Gabbard, we're almost done, and as I said, we've only got one set of blades left to set, which really completes the use of some of the real heavy expensive marine assets, so that really makes us feel confident. And as I said in my earlier remarks, we should be done within weeks. With regard to the export cable, it's actually the third export cable which is required if they're absolutely turning in 100% in a high wind circumstance. We've got the second half of the third one yet to do. And again, that's with -- they're on the water hopefully within this week based on weather. The only issue with the blade is, wind is the limiting factor because obviously, those blades are built to pick up wind, and it gets kind of interesting when you're trying to hang those things in high wind. But I feel like we're getting close to the end. A major expense from a capital cost perspective is behind us. We feel very positive about the quality of the work that we've performed, and we're pleased that our customer is enjoying the benefit of the power we're producing and fulfilling our obligations under that contract. So I feel really good about where we fit, where we see ourselves on Gabbard, and it's in line with what we've been signaling and talking about for probably the last 4 quarters. With regard to Conga, obviously, there's some labor unrest. We kind of had to take a breath and help the customer with the resubmittal of some of their permits, that is ongoing. And we feel that sometime during the middle of the year, we'll be back engaged, assuming that the permitting process goes as is currently planned.
Operator: We'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I just had a couple of questions. Number 1, we've seen DOE gets funding for helping out with the R&D expenses for SMRs. So I would love to get an update from you on where you stand in terms of NuScale potentially getting some funding there and what the time frame could be if it is successful in terms of you folks getting some of that money. That's question #1. And then question #2, if you look from the brief glance I've had through your 10-K, you did mention a breakdown for us. Some of the benefits you had in I&I from second wind, et cetera, but that's for the full year. Could you talk about whether there was anything specific in the fourth quarter that we should count on or whether this was normal growth of the business?
David T. Seaton: I'll take the first and then I'll ask Mike to take the second half of that question. With regard to the DOE and the FOA that we're going after, we're encouraged by what appears to be an acceleration by the government to get this funding in place for the technologies that are seen to be the most feasible. We feel very confident in being a participant in that. And we're encouraged, again, by what the DOE is trying to do. Now whether that translates into action is yet to be seen, but we feel confident that we'll know something sometime during this year. And we believe that we'll be part of the process and part of the R&D of the next wave of technologies. So Mike, I'll let you answer the other question.
D. Michael Steuert: Right. In terms of the fourth quarter, there really wasn't anything worth noting that was specific or that you can really point to in terms of special items within I&I. It was just another good quarter and some more solid margins in the quarter.
Operator: Our next question comes from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just to follow up on NuScale. Can you just give us an update on where you stand with trying to sell down your stake in that?
David T. Seaton: Well, I think what we're trying to do is focus on the technology development to support the application process. We're not eager to sell our position down unless someone's eager to come in at the level that we expect from a return perspective. We feel very comfortable with where we are right now, and we're focused on FOA and design certification activities.
Steven Fisher - UBS Investment Bank, Research Division: Okay, because I thought you were targeting, say, midyear to try and take that stake down a little bit. And I noticed that the impact is $0.20 rather than a range, so I didn't know if you're just taking the midpoint or if you think the top end isn't likely anymore.
David T. Seaton: We looked at the budgeting process and kind of what we think it'll take to get the FOA, and that's kind of how we got to a specific number. We thought that by giving a range, we kind of didn't give you what you wanted, so we decided to dig a little deeper, and that's what we think it'll cost to get to the next phase.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then you mentioned that Q1 awards are expected to strengthen. Can you just elaborate on what segments are driving that? And is it based on what you've already booked?
David T. Seaton: Some of what's happened over the last 4 weeks -- but I think there's a fair amount of positive projects that have moved quarter-over-quarter that are at the point where they will be released by the customer, a couple on them ones that we know we already have, but there's political situations that are driving the delay in the announcement. But we do feel good about first quarter new awards.
Steven Fisher - UBS Investment Bank, Research Division: Any particular segment commentary related to that?
David T. Seaton: I think Oil & Gas is clearly one of those areas.
Operator: . We'll take our next question from Scott Levine with J.P. Morgan.
Scott J. Levine - JP Morgan Chase & Co, Research Division: So can I ask about the U.S.? We've seen the Power business strengthen here in the last couple of quarters with awards a bit, and I think you highlighted potential for some large infrastructure projects, not sure if you said where. But we have seen data improve a little bit here recently, folks getting more optimistic on the Highway Bill. Are you feeling a little bit better about the U.S. potentially or not really and with things -- with an election year that we're not likely to see much improvement?
David T. Seaton: I fall down on both sides of that discussion. I mean, I want to be optimistic, and there are certainly signs that things are improving. But with an election year, it's not too hard to be pessimistic as well. We do see a lot of front-end study work going on. We do see some procurements in the infrastructure space beginning to gain momentum. I think with regard to infrastructure, I would suggest that, that's more of a back end of the year kind of prospect. And I'm cautiously optimistic that the U.S. is going to get their act together. I mean, look at Power as an example, they're just finally getting to the point where permits are being released. But in some cases, there's renewable energy projects that make absolute sense and fit the rhetoric of the United States, and then you end up with lawsuits around property rights. So there's a schizophrenic situation going on relative to some of the aspects of Power right now. But I am guardedly optimistic about the U.S. And as I've said in previous, if the U.S. starts spending at all, it's upside for us. So I'm really hopeful that we've got better news from a resurgence in capital spend in the United States.
Scott J. Levine - JP Morgan Chase & Co, Research Division: And maybe as a follow-on and related as well, I mean, do you see the improvement that you've seen the last couple of quarters here in Power to be sustainable? And does that bode well for growth prospects in '13? I think you said last quarter that Power's in February [ph] expected to have revenue decline in '12?
David T. Seaton: I think we're going to see some lumpiness in Power because of some of the things that move quarter-to-quarter. My belief is that before we really start to see growth in Power, it's more of a end of this year, early next year, which obviously bodes well for us from an earnings perspective, as we go into '13 and '14. So again, the diversity of our market and geography focus really helps us moderate cycles over the total business.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: So I guess my first question is really around your commentary on backlog staying flat. It sounds like, if I were to summarize, the FEED activity is going to be strong this year, but you are increasing your burn rate on the mining side. So perhaps, David, you can comment on your confidence on that backlog level staying flat based on what you're seeing on your pipeline today.
David T. Seaton: I'm very confident it will stay flat and grow. I mean, I think you're going to see increase as we get into the back end of the year. There's some significant projects where the decisions are in the third and fourth quarter. Now I'd caution that just like any other year, you can find things in the fourth quarter that, because of an approval here or a change there, it pushes into the next year. But I see us growing backlog marginally. But again, I think you're going to see an improvement in the quality of the earnings coming from that backlog as we go towards the last half of this year and into '13.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay, that's helpful commentary. And just a clarification for the projects that you think could hit potentially in the second half of the year. Are you guys already working on those projects in either a feasibility standpoint or on FEED work for those projects?
David T. Seaton: Some of them, yes.
Joseph Ritchie - Goldman Sachs Group Inc., Research Division: Okay, great. I guess one last question. One of your competitors had a recent acquisition announcement earlier this week. Has your view on M&A changed at all? Your cash balances are still -- you still remain very strong. Just love to hear your updated thoughts there.
David T. Seaton: That's an interesting question. Our focus on acquisition hasn't changed. It's niche in nature, and it's one where it fills a hole or improves a skill set. If you're talking about the URS acquisition, I think that Halliburton and KBR are in a better position to answer the question of that particular acquisition. We're an engineer, procure, construct and maintenance company, we're going to maintain that focus and grow in those capital markets. And if acquisition gives us an entry to a market within that scope or gives us a different trajectory on skill set, then we'll look at it. One of the issues that we've mentioned in previous discussions is, because of our diversity and size, it has to be niche in nature because some of the bigger ones, it might fit a niche that we need, but there may be redundancy. And I'm not interested in paying $1 for $0.80 of value, if you know what I mean, because being able to sell off pieces and parts of a service company are very difficult. So I think you'll see us be very prudent. We're going to look at smaller niche acquisitions, again, that help us move into some regions where we're not as big and as capable as we want to be or where it strengthens a technology offering or a market.
Operator: Our next question comes from Will Gabrielski with Lazard Capital Markets.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: On the Conga project, I'm just curious whether or not that had any impact on your guidance, if it was a negative offset, so maybe something that got better. But given that you booked it in Q3 and now you're not expecting maybe to ramp up until back half, did that, in any way, impact the guidance at all?
David T. Seaton: Mike, you want to cover that? My quick answer is, not really.
D. Michael Steuert: That's exactly right, David. It really didn't impact our guidance. But there are so many pluses and minuses in a quarter, and that were just one of them.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then the guidance, is there any guidance you can give us within that guidance on what level of buyback we should be assuming as part of that guidance?
David T. Seaton: You want guidance within guidance?
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Yes, sir.
David T. Seaton: No, sorry.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: That's fine. It sounds like you're -- or maybe I'm misreading this, but a little more confident on the mining margin or I&I margin going forward, as opposed to it maybe trending down a little bit and maybe holding these levels. Is there something that's giving you more confidence in what that margin can look like through maybe 2013 at this point?
David T. Seaton: Well, as I said, I think it's the mix of projects and the layering effect of having multiple programs going on at the same time, which I believe kind of provides a little more stability longer term. So I mean, whether it's up or down a little bit, I feel pretty good about kind of where we are.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay, fair enough. I was just wondering if something had changed from last quarter. And then lastly, on the services business. And I guess, the commercial and industrial data seems pretty positive, and I'm just wondering, still running well below peak levels and understandably so, but what the trajectory could look like in that business over the next year or 2 in the sense you're getting from your end markets right now?
David T. Seaton: Well, as I said, I think we're seeing the large capital maintenance budgets being funded, and in some cases, they're getting pretty large. It could end up being mid-cap projects, which, again, is something that we do quite well. But I see that market improving, and that will be, I believe, the first part of the improvement in the United States. But I think our maintenance organization has done a really good job of shifting overseas and working very favorably in places like Qatar, the Philippines. So they've been able to grow outside of the United States and not be as dependent on that major shutdown turnaround kinds of scopes. And at the same time, they refocused on facility maintenance, which has more of a stable earnings flow over a longer period of time. So I think they really did a good job of kind of changing their model to meet the market without giving up that muscle that you need to do those major maintenance capital programs and shutdown turnarounds. So I think you're going to see improvement in that market as we get into the back end of the year.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And if you'll give me one last short one on West Qurna. Do you think the pace of awards can now stay maybe at a healthier level through 2012? Or do you think it will still be lumpy quarter-to-quarter?
David T. Seaton: I think it's going be real lumpy.
Operator: We'll take our next question from Andrew Obin with Bank of America Merrill Lynch.
Andrew Obin - BofA Merrill Lynch, Research Division: Just a little bit, to my path [ph], just to get a sense on I&I awards. Am I correct just to think about the pace of awards? As sort of you talked about the pause in mining awards. So does that mean that in absolute terms, mining and I&I awards have sort of peaked, and we're just going to hit the steady rate for a while? Is that the right way of looking at it?
David T. Seaton: I'm not sure I would categorize it as peaked. I mean, there's some very large programs out there that we're pursuing, and in fact are already active on, that as I said, will have some significant impact from a new award perspective on the back half of the year, assuming that the projects continue and assuming that there's no upset relative to permitting or some of the issues we saw on Conga. I think those guys in our mining group have done a really good job of diversifying orebody and geography where they work. And I see -- I'm encouraged to see that, that's probably a more sustainable business over the next few years than the typical mining cycles that we saw maybe a decade ago.
Andrew Obin - BofA Merrill Lynch, Research Division: But I guess I'm just trying to understand your comments when you sort of said something about a pause, and I'm just trying to understand the context of that pause.
David T. Seaton: I was specifically speaking about Conga, not the whole market.
Andrew Obin - BofA Merrill Lynch, Research Division: And just to follow up, in terms of your capital redeployment, the buyback in the quarter was not a lot. How are you guys thinking about the buyback in particular as the stock price is finally going up?
David T. Seaton: Mike, I'll ask you to answer that.
D. Michael Steuert: Yes, Andrew, it is partially stock-price-driven. It's also driven by our free cash flow generation. And as we continue to generate free cash flow, I think it's reasonable to expect we'll have a modest buyback program throughout this year.
Andrew Obin - BofA Merrill Lynch, Research Division: Okay. But if the stock price keeps going up, obviously, it sounds like it will be -- you will slow it down?
D. Michael Steuert: That's correct.
Operator: Our next question comes from Rob Norfleet with BB&T Capital Markets.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Just a couple of questions. One, going back to Power on the margin side. I mean, clearly, Q4 margins were adversely impacted by lower revenues and higher fixed cost absorption. How should we then look at the margin trajectory as we move into 2012? Clearly, the backlog has grown, but should we kind of view this as a low watermark for margins in Q4, and maybe towards the second half of the year in '12 be able to get back up to this double-digit levels?
David T. Seaton: I don't know if I would signal back up to double-digit levels in the near term. I think that we'll see improvement as we get towards the back end of the year and we get into the projects that we've just been awarded. But more importantly, we're confident that we're going to win a little bit more, and that market will change a little bit as, as I said, we get towards the last half of the year. I think the margin improvement is going to move more towards '13 than '12. Is it a low watermark? I wouldn't comment. But I'd caution that when you look at the Power numbers, the way we're reporting them, that will contain the NuScale expense. So you've got ongoing operations in Power but you also have NuScale report -- our piece of NuScale reporting through that segment.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Okay. And somebody here asked the question about the DOE funding program for the R&D, for SMRs. If you do receive funding from that, will that be an offset to your R&D spend now? Or how will that be in terms of reported as a line item?
David T. Seaton: It won't impact our funding for 2012.
Robert F. Norfleet - BB&T Capital Markets, Research Division: Okay. And last question I have, David, what kind of opportunities do you see in government as it relates to Internet today? Clearly, the budget is up in 2012 in terms of rebids and new bids, I mean, Y-12 and Pantex, we know was out, in terms of being rebid, but what other opportunities do you see in the market?
David T. Seaton: Well, I think there's obviously that. There's the potential renewal or rebid of Savannah River in the near term. We're still growing at Portsmouth. So in the DOE world and the NNSA world, the mission's obviously changing, and I think that we're well positioned to be a participant in that. And the support, frankly, that will take place relative to the new technologies and how they're deployed, approved, deployed around the globe. I think I mentioned the DOD business. It's obviously solid, as I said, through this year, next year, and there's a fair amount of base operating support contracts that are being bid. And as you saw, Jacksonville is under protest. We feel good that the protest will go to our favor. So there's a fair amount of a shift into the base operating support mission around the DOE, and I think you'll see the military deploy in some different locations. And we're positioned to be a good supplier to the military. So I think it's a good solid business that will continue to have marginal growth as we go over the next few years.
Operator: Our next question comes from Avi Fisher with BMO Capital Markets.
Avram Fisher - BMO Capital Markets U.S.: On the Power side, your backlog is up to about 100% year-over-year. Could you talk a little bit about the revenue burn on that backlog? I presume revenue is not going to be up 100% next year.
David T. Seaton: No. These are the beginning stages of the projects. I mean, it will obviously ramp up as we go through 2012, but it won't be 100%.
Avram Fisher - BMO Capital Markets U.S.: Yes. Are these 2 to 3-year programs typically?
David T. Seaton: These are probably nominally 24-to 30-month kind of programs.
Avram Fisher - BMO Capital Markets U.S.: And I'm wondering. Generally, if you could expand on some of the things you've talked about already which is in the U.S., can you talk a little bit about the size of the opportunity and quantify it for the petro -- the U.S. petrochemical spend and the U.S. emission spend?
David T. Seaton: Well, I mean, the emission spend, I think, is going to be significant once the rules are known and the rules don't change. So it'd be hard to size that market until the regulations are known. But it's significant, and that's as far as I'd really like to go there.
Avram Fisher - BMO Capital Markets U.S.: And when does it start to get significant? Do we have to wait for the regulations to really be finalized?
David T. Seaton: Yes, I mean, you've got -- I mean, if you're a power company, you're trying to figure out what are the rules of the game. They're ready, willing and able to deal with. If you look at the coal plant situation relative to those emissions guides, they're ready to fix, close or sell. I mean, they know what they've got to do, but they're leery of committing that capital with the belief that things have changed so much over the last 2 to 3 years. Let's wait until it's solid then we'll pull the trigger. So I think in that case, there's going to be a lot of preparation work done and studies done, which as I said, we're participating in. But as far as pulling that trigger on what that's going to be, I think we're going to have to wait on regulations. On kind of the petrochemical side, I would lead you to comments that have been made by Dow, whereas 5 years ago, they've made the comment that they were going to basically cease manufacturing in the United States, to where now, they're looking at maybe 1 or 2 ethylene crackers, which, depending on the size of cracker and kind of what else goes with it, could be $1 billion program. And we're in that market and are active as we speak with some of the customers that are looking at significant spend in that petrochemical space in the United States.
Avram Fisher - BMO Capital Markets U.S.: One quick final question. Your guidance for G&A is down $10 million. It's not a huge number, but are you deferring any spending plans at all? Or is there any programs that you're deferring? Or it's just...
D. Michael Steuert: No, it's really just cost reduction efforts.
Operator: We'll take our next question from Andrew Wittmann with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I guess first question just a clarification of an earlier question. My understanding was that the guidance did not include any share buyback. I don't know if that was clear before. Mike, has that changed the buyback content in the guidance that you've given?
D. Michael Steuert: No, it hasn't. We normally don't include any significant amount of share buyback in the guidance. And like I said, we'll probably look at that but not this year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay, that makes sense. And David for you, just, I guess, the LNG market has been a pretty active market, clearly a lot of capital being -- headed in that direction. I guess, I just want to hear your assessment of Fluor's position in that market. How would you rate yourself in terms of ability, capabilities and market share? And do you think on a go-forward basis, investors should expect more activity from you even though you clearly have had some activity there? Do you expect that to be kind of up, down or about the same as we look forward?
David T. Seaton: I think directionally, it's going to be up. I mean, we have -- I mean, there's other companies that have done much better in that market than we have, and we're taking actions to improve our position. We know we got the skill sets. It's a matter of making sure we got the right partnership structures with companies in order to have that value proposition accepted by our customers. But I do see us improving our position as we go through '12, and we're aggressively going after a couple of projects in that market.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That's really your go-to-market strategy that's your key focus point here. It's not like you need to maybe partner with anybody else to go to market. You just feel like the way you it, your internal execution is really the focus point for you right now?
David T. Seaton: That's part of it but I'd like to think that partnering is something that helps us project ourselves better around the globe in certain places. I mean, when you think about the cryogenic side of that particular market, there are others that are better at it than us, and we're going to align with those folks to take advantage of that market.
Operator: Our next question comes from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners Inc.: Just taking a step back, I mean, you've answered a couple of questions on the margin. Power looks like you're being held back a little bit by the NuScale investment, as you had said before. I&I could be flattish. Oil & Gas, you showed some positive expansion there. But overall in 2012, when you roll things up, do you expect that you'll see margin expansion in '12?
David T. Seaton: I think that now you're also asking for guidance within the guidance. I think that we're going to see some improvement in our delivery, but I think the question's going to be is the significant amount of CFM that flows on things like mining and things like Kearl, that from a margin percentage standpoint will depress margin percentage, but in fact, real dollar improvement is what we're focused on, and I think we'll see some of that as we go through '12.
Brian Konigsberg - Vertical Research Partners Inc.: Yes. And just back on Greater Gabbard. So it's -- you're nearing completion, but I think there has been some noise made about, I guess, issues with the transition pieces. Just where do things stand as far as kind of the legal standpoint of, I guess, them saying that, I guess, Fluor is responsible for some of the costs associated with issues with the transition pieces?
David T. Seaton: We're extremely confident in our position relative to the technical aspects of the whole situation. I find it interesting in some of the findings that are coming up and the fact that when the experts go and look at these particular things, they come up with an opinion that's 180 degrees different than our customer's opinion. So it's going to -- we're going to finish the job. They're going to enjoy power from that -- those facilities. They're going to operate like they were designed, and they're going to produce the power that's expected, and they're going to operate over the life that is expected. So I think the unfortunate piece in this is that we're going to have to wait for a legal proceeding to determine the end facts. But from a technical perspective and from whether these things work as designed, we're very confident.
Operator: We'll take our next question from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: Just David, one more question relative to the margins. And I realize it depends on the project type and the mix, but if you look at on a same project basis as best you can, is pricing getting better?
David T. Seaton: I just -- I feel like the market is very competitive across the board, but we're doing quite well in that competition. I believe that the margin dollars that we're garnering fit within our norms, and I feel good about growing profitably over the next several years. The markets are there, our execution platform is as strong as it's ever been, we're focused on efficiency and cost, and I think we're going to be much more competitive as we go through the next few years without jeopardizing the margin dollar production. So I feel like we've kind of turned a corner in a couple of different ways that are going to improve our position as we go through '12 and '13.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And maybe just one other question, and maybe, I don't know, for Mike. And it's very early, but there's some tax proposals out today and some mention of increased rates on foreign-generated income. Have you thought about that? Any implications there?
David T. Seaton: I look at that like I look at the permitting process for Power. It's interesting the rhetoric you hear, but you hear a lot of talk and not a lot of action. So we're kind of going to run our business the way we run our business, and we'll deal with the outcome of laws that are passed and changes in that. I mean, the rhetoric with today was, yes, they're going to have a tax income overseas, but they're going to lower the corporate rate. Well, I'll wait and see that, too.
Operator: Our next question comes from Min Tang-Varner from Morningstar.
Min Tang-Varner - Morningstar Inc., Research Division: I'm just curious because this year, finally, your I&I business is actually overtaking your Oil & Gas business being the biggest segment contributing to your earnings. So I'm curious inside the I&I business, how much is actually mining contributing versus other infrastructure projects and whether the changing in composition between mining versus other projects is actually having some longer-term, I know you're annoyed about this, margin impact on the segment?
David T. Seaton: I'm not annoyed. I just had a great time with Jamie and the others talking about margin and guidance within the guidance. Within I&I, the only segment -- the only piece of that, that I think is maybe not clicking on all cylinders is the Manufacturing and Life Sciences piece, but that's primarily because for the lack of capital spend in places like the U.S., Ireland, Puerto Rico, Singapore in that particular market, which is a historic market for us. So when that market does return, I think that will also provide a good growth potential for us. mining is obviously probably -- it is the largest piece of I&I, but it doesn't overshadow our infrastructure business. There are several large projects that are ongoing, and we always talk about the Greater Gabbard project, but there's a very positive infrastructure project with the San Francisco Bay Bridge, the light rail in Denver. There's a lot of programs that are going very well in that market that provide great earnings streams for us. So mining is larger, but I wouldn't say demonstratively so. Relative to your comment about eclipsing Oil & Gas, you can imagine the healthy competition that takes place within our company because of that reality. And I see our Oil & Gas guys chomping at the bit to regain their position, which, I hope, both continue to grow dramatically as we go through the next few years.
Min Tang-Varner - Morningstar Inc., Research Division: Yes. But which actually leads to my second question. I know that back in 2007 to 2009, your Oil & Gas business were on fire, and when oil prices declined and a lot of capital projects got shelved, you actually did – see the business declined in the segment. So I'm just curious when you commented that you're expecting the EPC contract will roll in within the next 12 to 18 months. Are we expecting in the 2013 to '14 time frame, you would actually regain that over $10 billion or $10 billion to $13 billion of the revenue line from the Oil & Gas business? Or are we thinking more of a steady growth going forward?
David T. Seaton: I think it's going to be a steady growth. I mean, if you'd look back to the time frame you're talking about, we were very successful in the refining segment as an example. There were 7 megaprojects in that particular market, and we won 6 of them. One ended up -- And only one of them ended up kind of being shelved after FEED, and that was the Kuwait refinery. So I think one of the issues -- one of the benefits of that period of time is you think about the earnings that we enjoyed during '08 and '09 and into '10, and we're not finished with some of those projects yet. It enabled us to kind of weather the economic storm much better than most companies in our segment or in general, which speaks to that diversity. Now we've seen a significant uptick in mining, which again, keeps that trajectory headed to the north from an overall corporation perspective. So I'm signaling that we're seeing improvements and a steady increase in our Oil & Gas business. But when they regain that revenue burn, I really wouldn't say, but it's going to be a steady growth as we go through this year and next year.
Operator: We'll take our last question from Robert Connors with Stifel Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Dropping the Oil & Gas prospect list, there's been some recent press reports that rather large upstream expansion projects that Fluor had been involved in on just the initial phases now starting to gather steam on their expansion phases, especially within places like central Asia. I was just wondering if you're seeing those same dynamics and if clients are coming back to the drawing boards on these expansions.
David T. Seaton: They absolutely are, and we're helping some of them with their scoping efforts right now.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then the Oil & Gas headcount also grew at a double-digit clip for the first time in about 3 years. I was just wondering if it was more front-end or back-end loaded through the year and if the costs for these hirings were material and also, how you see headcount progressing either at a faster or slower rate as you go through 2012 and '13.
David T. Seaton: There's no material cost impact relative to those employees, and it's across the board. I think we've really perfected that dispersed execution model to where you're seeing increases in Asia, central Asia, Australia, to support that dispersed execution, but providing some stability across the rest of the system, North America, Europe and otherwise. So I think you're going to see a continued increase in headcount in that market that follows these projects as they're awarded. But I'm really encouraged from 2 perspectives. One, the level of talent that we're able to attract and retain because of our tools systems and development processes; and I'm very comfortable about our ability to deploy these resources anywhere in the world. So I think we've got a pretty good model about how we deploy our people.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: And then just for housekeeping since this was the first quarter. The debt's been on the book as -- you guys gave a consolidated interest expense/income, but can you give a breakdown on what the expense was and what the income on the cash was during the quarter?
D. Michael Steuert: We don't but you can -- expense is pretty straightforward at 3 3/8% at $500 million. That's essentially our debt.
Operator: . That concludes today's question-and-answer session. Mr. Seaton, at this time, I will turn the conference back to you for any additional or closing remarks.
David T. Seaton: Okay, thank you, operator, and thanks to all of you for participating this afternoon. Jamie, I'm sure I'll hear from you later, and I already apologize for using your name in the margin question. But just to wrap up, despite one of the worst economic landscapes we've seen in decades, Fluor's continued to deliver very strong results during 2011. We nearly matched 2010's record new award levels. We grew backlog and delivered growth in both earnings and revenues. We strengthened our balance sheet, and re-returned cash to our shareholders. I believe that Fluor is well positioned for growth in 2012 and beyond as those market conditions continue to strengthen. Despite continued economic volatility, the capital spending trends of our key customers remain strong and in fact, growing in some cases. As you may have heard, Fluor celebrates its 100th anniversary this year. And I want to thank you and everyone involved for the vital part you play in our success. Not many companies can say that they're celebrating 100 years, and we're very proud of our heritage, but we're more focused on the next 100 years and continuing to grow our company and deliver earnings growth to our shareholders. Our strategy to diversify, as I said earlier in the comments, both geographically and by end market, began many years ago, and we're reaping the benefits of that now. Our international business is robust. As I said, it represents approximately 80% of our backlog, and that is a testament to our diversity. But as I also said, the U.S. is starting to see some positive signs, and that's complete upside for us as we go through 2012. We've built a century of achievement on the foundation of being an excellent provider to our customers. And as expert builders, we know how important a solid foundation is to allow us to continue to grow. And I believe that our company is extremely strong, and our future is extremely bright. We greatly appreciate your interest and support of our company, as well as the confidence that you have in Fluor. I hope everyone has a great rest of their day, and I look forward to speaking with each of you when the opportunity arises. Have a good day.
Operator: . That concludes today's conference. Thank you for your participation.